Operator: Good morning and welcome to the Yatra’s Fourth Quarter and Full-Year 2023 Earnings Conference Call. My name is Carla, and I'll be you moderator for today’s call. [Operator Instructions] I would now like to pass the conference over to our host Manish Hemrajani. Please go ahead.
Manish Hemrajani: Thank you, Carla. Good morning, everyone. Welcome to Yatra's fiscal fourth quarter and FY ‘23 financial results for the period ended March 31, 2023. As always I am pleased to be joined the call today by Yatra's CEO and Co-Founder, Dhruv Shringi; and the CFO, Rohan Mittal. The following discussion, including responses to your questions, reflects management views as of today, May 30, 2023. We don't undertake any obligation to update or revise the information. Before we begin our formal remarks, allow me to remind you that certain statements made on today's call may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to several risks and uncertainties that could cause actual results to differ materially. For a description of these risks, please refer to our filings with the SEC, and our press release filed earlier this morning. Copies of this and other filings are available from the SEC, and also on the IR section of our website at investors.yatra.com. With that, let me turn the call over to Dhruv. Dhruv, please go ahead.
Dhruv Shringi: Thank you, Manish, and good morning, everyone. Also, thank you for joining us today for our fourth quarter earnings call of fiscal ‘23. We wrapped up the fourth quarter of fiscal ‘23 with our strongest quarter yet since the onset of COVID. We registered an exceptional year-over-year growth of 97.4% in revenue and 93.3% in adjusted revenue. This strong performance is attributed to the market recovering and also gaining share in recent quarters in both our consumer and corporate travel businesses, and this has enabled us to achieve the highest incentive levels with most of our airline and GDS contracts for the full fiscal year 2023. India's domestic passenger traffic saw sequential growth of 4.6% in the quarter ended March 2023, compared to this, our domestic passenger traffic grew 33% sequentially, reflecting strong market share gains for both our consumer and corporate businesses. Notably, we signed a record number of 97 medium to large corporate customers in the year ended March 31, 2023. This is a testament to our corporate segment leadership and capabilities and the continued recovery in the travel sector. On the consumer side, our strong brand and high brand recall helped grow the B2C business also significantly faster than the industry growth rate. A favorable macroeconomic backdrop with the domestic travel market in India surpassing free COVID levels also contributed to our impressive turnaround. Our revenue and adjusted revenue for the quarter ended 31 March 2023, were reportedly at INR1.19 billion, which is $14.5 million approximately and INR1.89 billion, which is $23.1 million, respectively. These were well ahead of our projected guidance range of $19.5 million to $20.5 million in adjusted revenue issued last quarter. Adjusted EBITDA for the quarter reached INR185.6 million, which is approximately $2.3 million marking a significant increase of 251% year-over-year. The domestic aviation in India between quarter four of fiscal year 2022 and 2023 grew 52% year-over-year, reflecting a swift recovery from the lows of COVID and the long-term growth trajectory for the Indian travel market remains very positive. This positive momentum has carried over into the new fiscal year as well with April 2023 domestic air traffic rising 17% year-over-year to 12.9 million passengers. International travel has also shown a steady improvement during the quarter ended March 31, 2023. It reached approximately 90% of pre-COVID levels as well. As we move forward, we remain optimistic and committed to leveraging these positive trends to drive further growth and success. I'll now give you a quick update on our ongoing IPO process in India. As you might recall, Yatra Online Limited, our Indian subsidiary also referred to as Yatra India, filed a Draft Red Herring Prospectus on March 25, 2022 with SEBI. This is in preparation for a potential initial public offering in India, the plan includes listing Yatra India's equity shares on the Indian stock exchange and referred to as the Indian IPO. On November 17, 2022, we received the final observation letter from SEBI indicating that the IPO can open for subscription within a year from the said date. In light of this, we embark on our India investor outreach in the early parts of the March quarter. This involved engaging with prominent investors in India, including leading domestic mutual funds, family offices, and hedge funds in the Indian market. The feedback has been very positive due to our strong performance. The evident recovery of both consumer and corporate travel businesses in India and the favorable macro trends that suggest the potential for substantial growth in the sector for years to come. However, due to the broader macro environment in the global market, the investor feedback process has been lengthier than what we anticipated. Despite this, we have noted that key investors continue to expect interest and engage. Our strong operating performance and macro tailwinds behind the industry give us the confidence in our prospects for a successful IPO in the near future. Aside from bolstering our financial position we believe that this offering will provide us with the opportunity to be more assertive pursuing new corporate businesses and also explore strategic alliances with partners, who might not have been comfortable with an overseas structure in the past. Moving on to further details on the quarter. Our consumer business gained further momentum on the back of the strong brand recall that the yatra.com brand continues to enjoy in the market, and during the quarter, we closed 25 new corporate customers to close the full year with a record number of large and medium corporate customer signings of 97, as corporate travel continues to recover strongly post-COVID. International travel also continues to improve, as I mentioned earlier, it exited at about 90% of pre-COVID levels and with the lifting of all restrictions now pretty much across Asia Pacific. We expect recovery in international travel to be pretty brisk, and we expect international travel to make up for some of the lost ground over the course of the last 12 months. On the hotels front, our adjusted revenue was up 49.3% year-over-year, with standalone room nights up 34% year-over-year, packages grew 35%, albeit from a small base. From a competitive standpoint, the intensity has remained stable from last quarter and remains manageable overall. In our drive for innovation in AI and data sciences and accelerating corporate sales growth and technology innovation, we made two key appointments this quarter. We welcomed Dr. Shakti Goel, a seasoned technologist from IIT, Delhi and MIT as Chief Scientific and Chief Data Architect. We also welcomed Tarun Kumar Bhakri as, Vice President, Corporate Sales, he’s a seasoned sales leader with three decades of travel domain experience. And in his last role led American Express sales efforts in India. From a macro standpoint, the Indian government remains strongly committed to the growth of airport infrastructure in India, and investment of roughly $3.3 billion has been earmarked for expenditure through FY ‘26, signifying a substantial commitment towards infrastructure development. More than 70 projects worth approximately $2.2 billion are projected for completion by mid-2024. These projects encompass a wide array of improvements and expansions across several Indian cities. Notable initiatives include the construction of a new Greenfield Airport in Rajkot, extension of terminal buildings in Surat and Goa, expansion of the civil enclave at Gwalior Airport and the construction of a new ATC tower in Kolkata amongst others. Additionally, the government predicts a massive investment influx into India's aviation sector in the coming years. Over the next three years, it is estimated that both private airport operators and the state owned airport authority of India will invest approximately $12 billion into this sector. This significant financial infusion is anticipated to increase the number of operation airports from the current tally of 140 to over 200. This strategic investment aligns with the government's vision of enhancing accessibility and connectivity across the nation. On the liquidity front, as of March 31, 2023, the balance of cash and cash equivalents and term deposits on our balance sheet was INR1.09 billion, which is approximately $13.3 million. We plan to also start repaying the MAK debt facility that we had taken on towards the end of calendar year 2022. We'll start paying this off in tranches starting with the first tranche by June 30 and expect to repay the entire facility before its due date. We believe we remain adequately capitalized and have sufficient working capital facilities in place to continue to fund the robust growth in our corporate business. Given the ongoing recovery in corporate and leisure travel, our continued success in signing new large and medium sized enterprise customers, we believe we are poised for a strong FY ‘24. Aside from seasonality, we expect our results to benefit from accelerating growth in both our corporate businesses and consumer business as we continue to add to our formidable blue chip customer base and leverage the strength of our brand. Just to reiterate, today Yatra serves one out of four of the top 100 listed companies in India by market cap, three out of the big four accounting firms, and three of the top five technology companies in India amongst others. Now on to guidance for FY ‘24. Based on macro factors and our quarterly trends to-date, we anticipate an adjusted revenue range of $88 million to $92 million in constant currency for FY ‘24, which translates to a growth range of approximately 18% to 23%. Taking advantage of the leverage in our business model, we anticipate that the adjusted EBITDA will grow at a much faster pace of 46% to 50% in FY ‘24. Before I hand over to Rohan to walk you through the financial performance in more detail, I would like to talk about the recent bankruptcy protection filing by Go Air. On May 2, 2023, Go Airlines India limited or Go First, one of the smaller domestic airlines file an application for voluntary insolvency resolution proceedings before the national company law tribunal in India, citing the supplier of faulty aircraft engines and failure of its engine supplier to replace them on time, which resulted in grounding of half of its fleet and consequent operational and financial issues. On May 10, 2023, the company law tribunal admitted the application and granted protection to Go First by imposing a moratorium against a recovery by lesser, lenders, and other creditors with Go First. In addition, the company law tribunal has appointed an interim resolution professional to operate, Go First and to maintain Go First as a going concern. Yatra India has made the appropriate filing with the interim resolutional, professional and connection with its claims. And as of date, thereof Go First has suspended all flights until May 30 2023. Go Air’s market share at the time of its filing for bankruptcy was approximately 6.4%, hence it's one of the relatively smaller airlines operating in India and given the amount of incremental capacity being added in the country by the other airlines, we expect only a marginal impact on our business of Go Air’s bankruptcy. While we remain optimistic that Go Air will commence operations in the near-term, we have as a matter of prudence created a one-time provision of INR39 million against a full amount that was due to us from Go Air at the time of this filing. Finally, I would like to express my deepest appreciation to our dedicated employees and shareholders for their unwavering support. With that, let me hand it over to Rohan to walk you through the details of the financial performance. Rohan?
Rohan Mittal: Thank you, Dhruv. I will now review our quarter four numbers for the Jan, Feb, March 2023, followed by full-year FY ‘23 results. For the March quarter, our adjusted revenue increased by 93.3% on a year-on-year basis to INR1.9 billion. The strong growth was driven by a rebound in the air passenger traffic by about 53%, further supported by [Technical Difficulty], resulting in an overall 119% increase in air ticketing adjusted revenue to INR1.5 billion. Adjusted revenue for hotels and packages was up 49% to INR268 million on the back of a 34% growth in booked room nights. As the macro travel trends continue to witness strong tailwinds, we were able to grow our gross bookings to INR17.8 billion in quarter four, registering a Y-o-Y growth of 56%. It's important to note here that hotel and packages gross bookings doubled on an year-on-year basis, reflecting strength in corporate uptake of hotels. Turning to expenses, quarter four marketing and sales promotion expenses, including a netback for consumer promotions and loyalty program cost increased by 144% to INR1.05 billion. This enabled us to gain market share and unlock higher threshold of income from BDS and the airline suppliers. Our personnel expenses increased by 10% on an year-on-year basis to INR279 million during quarter four. The increase from the prior year was primarily due to the impact of reinstatement of salary to pre-pandemic levels, annual salary appraisal and marginal increase in headcount, keeping in line with the overall business group. The moderate increase relative to the 93% jump in adjusted revenue for the same period reinforces the operating leverage that is built. On the back of automation of back-end processes, as well as the adoption of sell booking tool in our corporate business. Other operating expenses in quarter four increased by 48.5% Y-o-Y to INR407 million. This was driven by an increase in commission, legal and professional charges, payment gateway charges and provision for doubtful receivables. The net impact of all these factors led to a 3.5 times year-on-year jump in adjusted EBITDA from $53 million in quarter four FY ‘22 to $185.6 million in quarter four FY ‘23. On the back of robust growth in our passenger count, we were able to achieve higher thresholds of incentives with our GDS and Airline suppliers. These incremental incentives, net of provisions take them to prudently account for the ongoing Go First insolvency led to a net positive impact to the tune of approximately INR80 million in our adjusted EBITDA for quarter four. Now coming to the full-year FY ‘23 numbers, we have recorded an adjusted revenue of INR6.2 billion, reflecting an 86% growth year-on-year over FY ‘22. This is registered primarily on the back of 96% year-on-year growth in adjusted revenue from Air and a 78% growth in adjusted revenue from hotels and packages. At the quantitative level, Air passengers booked saw a 56% year-on-year growth in FY ‘23 versus FY ’22, while room nights booked increased by 72% during the same period. Due to all these factors, we were able to register an adjusted EBITDA profit of INR423 million in FY ‘23 versus an adjusted EBITDA loss of INR159 million in FY ‘22. Lastly, as of March 31, 2023, the balance of cash, cash equivalents and term deposits was INR1.09 billion, this was marginally higher than the December quarter balance of INR1.08 billion. With this, we conclude our prepared remarks and handing back to the moderator for the Q&A. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Scott Buck from H.C. Wainwright. Your line is now open.
Scott Buck: Hi. Good morning, everyone. Thank you for taking my questions. First one from me, Dhruv, it looks like if I look at year-over-year adjusted revenue growth, hotels and packages seems to be lagging your ticketing by quite a bit. I'm just curious if you could talk a little bit about the dynamics there and whether there's an opportunity for that to accelerate here in coming quarters?
Dhruv Shringi: Sure. So firstly, good morning, Scott. In terms of hotels and packages, if you look at the numbers from a adjusted revenue standpoint, hotels and packages grew 49% year-over-year in the quarter, right? So it's not, you know, by any means, slow growth, it’s just relative to Air, which grew at about a 120%, right? So 49%, you know, 49.3% looks relatively low. But still pretty impressive growth. On the hotel side, we do expect to see continued growth happening. The implementation cycle typically on hotels for corporate customers tends to be a bit longer than Air. Hotels is more of a curated product, right, as you can imagine, different corporates will have different requirements of hotels, the geographic area as well vary, the kind of hotels that they want their employees to stay at will vary. So it's a very curated list that gets created for corporate customers. And hence, there's a slightly longer growth path or implementation cycle for that. But we expect to see strong growth continuing to happen out there as we go forward as well. So it's not a case of it lagging, I mean, yes, in relative terms, it's lagging Air growth. But it's not that, you know, it's not growing by itself, it will continue to grow in strong ranges going forward as well.
Scott Buck: I appreciate that.
Manish Hemrajani: Scott, actually if you look at the -- Scott if you look at gross bookings, our hotel and packages, gross bookings actually grew at about a 100% year-over-year, so better [Multiple Speakers]
Scott Buck: Yes. No, I see that. Thanks. Appreciate that, Manish. Second one, Dhruv historically, what has international been as a percentage of revenue, if you go back pre-COVID, I guess?
Dhruv Shringi: So historically, international has been close to, it's been hovering between 25% to 30% in revenue terms pre-COVID.
Scott Buck: Okay. And what is it today?
Dhruv Shringi: So today, it's still less than 20%.
Scott Buck: Yes.
Dhruv Shringi: It's recovering quickly, but, you know, what's also played out very strongly is that we've seen traffic on the domestic side will really be on a tear. Travel in India is becoming much more deep seated and expanding into Tier 2, Tier 3 markets. And the strength of our brand continues to resonate in these markets, and as we are seeing more and more traffic pickup, right, we are seeing stronger growth happening on the B2C domestic Air. We do expect international to also continue to grow strongly. But at this point, domestic Air is growing really strongly on the B2C side. On the corporate front, it's more or less a case of all boats driving, right? We're seeing strong growth happening on both domestic and international on the corporate trend year-over-year.
Scott Buck: Yes. That makes a lot of sense. And then last one for me. You guys have done a really nice job with the OpEx controls and kind of maintaining lower rated growth there versus what you're seeing in the top line. I'm curious how confident are you that, that can continue into 2024. It sounds like from the guidance that you feel pretty comfortable that you can, kind of, keep costs under control here.
Dhruv Shringi: Right. So on the work of the automation efforts that we've undertaken for the last now coming on to three plus years, Scott. We are fairly confident that we'll be able to keep our cost broadly in check. There is a lot of time and effort that has gone into making the back end fairly automated and scalable. In addition to that, the change in consumer behavior that we are seeing on the corporate side with more and more employees self-booking is also looking like an, you know, irreversible one. It's unlikely that having now spend the last six, eight months doing pretty much everything on their own, employees will go back into an offline mode and go back into reverting to calls and emails. So I think these trends are fairly permanent in nature, and I would expect to see this leverage continue into the coming years as well.
Scott Buck: Great. That's helpful. Congrats on the quarter guys. Thank you very much.
Dhruv Shringi: Thank you, Scott.
Operator: Our next question comes from Anja Soderstrom from Sidoti. Please go ahead.
Anja Soderstrom: Hi, and thank you for taking my question and congratulations for the good quarter. So I'm just curious about what is the margin difference between the business and the leisure revenue streams? And what are the main drivers for the margin and profit improvement going forward?
Dhruv Shringi: So the margin in terms of operating margin, the corporate business would be high-teens to getting into 20%, kind of, range. And this is, you know, once we get back to the full pre-COVID scale, which is where we are now pretty close to. And on the B2C side of things, it would be in the high-single-digits in terms of operating margin. The main growth drivers and profitability drivers on the corporate side we've got strong operating leverage coming in on account of employees adopting technology. So it's reducing the amount of manpower that we need to support the same amount of business, right? So that's giving us strong leverage, and it also provides a much more scalable model that your employee cost does not grow up linearly, but instead ends up growing in only a step function. So we are seeing strong leverage on that. On the B2C side, while there is leverage and all other costs, the overall profitability of the B2C business is driven to a certain extent by the competitive intensity and the competitive landscape. At this point, the competitive landscape has been fairly stable and that's allowing us to, you know, both gain market share, because we've got a very strong brand in the market. So the minute the competitive landscape is more neutral, it leads to organic traffic growth for us and improved conversions for us, and we are seeing the effect of that play through. And that's what, you know, we are counting on going forward as well. We don't see the environment changing quite drastically. So to that extent, at this point, it seems like all boats are rising, all guns the firing, right? And the business is going very strongly.
Anja Soderstrom: Okay. Thank you. And in terms of the IPO timing, is there anything additional you can tell us there? Is there any sort of deadline you have for that, that has to be done by? Or…
Dhruv Shringi: The outside limit on that is 16 of November, so it can be done and priced any time before 16 of November of 2023. We are, you know, actively, as we put in our commentary as well, engaged in conversations with investors. We had to give it a break, because you got in a quiet period. But now, again, the process will start once the results are -- now that the results are out in public.
Anja Soderstrom: Okay. Thank you. And given that we're two months into the current quarter, have you seen that acceleration in the packages growth continuing into the fiscal first quarter, as well or what are you seeing in this quarter?
Dhruv Shringi: Yes. So the momentum that we saw in Q4, we continue to see that carry forward into Q1 as well of the current fiscal year.
Anja Soderstrom: Okay. Thank you. That was all for me.
Dhruv Shringi: Sure. Thank you.
Operator: [Operator Instructions] Our next question comes from -- so we currently have no further questions and -- so back [Multiple Speakers]
Manish Hemrajani: Carla, I have a couple of questions that have come over email. Dhruv, if I may.
Operator: Okay. Yes. Of course. Go ahead.
Dhruv Shringi: Sure. Go ahead [Multiple Speakers].
Manish Hemrajani: Can you talk about the market share gains in Air that you've seen this quarter? What is causing that and how do you expect to see that trending in the near to medium term?
Dhruv Shringi: Sure. The growth in market share on the Air side is coming in on account of us gaining share on the back of the strength of the brand and also opening up new online channels of distribution, where we are now gaining the market share. We expect the growth to continue to be steady and much faster than market, right? Market itself is expected to grow in the early teens. We expect our growth to far outpace the growth in the market. So we expect our gains to be, you know, permanent in nature. We don't expect these to be short lived gains so to speak of. We've also seen, given that travel is going deeper and deeper into Tier 2, Tier 3 markets and there's strong demand emerging from these sectors, the strength of our brand continues to resonate in these markets, and that's also helping us gain more market share. And likewise, on the corporate side, we've got new customer signings. We've signed 97 new customers, that's the highest ever in terms of new customer signings that we've done. And that also, as these customers end up getting implemented, will continue to accelerate our market share gains.
Manish Hemrajani: Thank you, Dhruv. I have one more. Please add some color initiatives in the Middle East and African markets? And what kind of contribution can we expect from these initiatives? What other markets are you looking at going forward?
Dhruv Shringi: Sure. So it's relatively early days, Manish when it comes to opening up of newer markets. We have established a toe hold in the Middle East and African markets, and we are exploring a couple of other markets in Southeast Asia as well. The software business and software as a service business and software as a platform, the way we are trying to pitch is a very high EBITDA margin business. We do expect that this is a kind of business that can over the few next few years and deliver a 50%-plus, kind of, operating margin. But as of today, it's still relatively early days. And write a large fast platform sales, it will have a slightly long gestation period to sell. But once implemented, should have a relatively high lifetime value.
Manish Hemrajani: Thank you, Dhruv. That's all I have from all the email questions.
Dhruv Shringi: Sure.
Manish Hemrajani: Carla, over to you -- back to the queue.
Operator: Yes. So we do have a few more questions now. And so if we go to Lisa Thompson from Zacks Investment Research.
Lisa Thompson: Good morning.
Operator: Your line is now open.
Lisa Thompson: Thank you. You cited that you had reached the highest payout slabs this quarter. Could you discuss how that works? And do they reset? Is it a time thing? And now that you're up there, are they going to change the hurdle for you?
Dhruv Shringi: Yes, it's a good question, Lisa. So typically, what will happen is in most contract there will be a tiered structure which will be there that based on the volume that you end up delivering, you end up getting incremental amounts as we keep going into the next higher slab. And typically, this payout will start from zero and go to the threshold. So if you get, let's say, a slide moving from 2% to 2.5%, then that half a percent extra that you get is on your total sale. So that's the way the slabs will typically work. These slabs are set. These contracts are negotiated for one particular fiscal year, and then they start again. Similarly, in the case of the GDS contract, there is a particular threshold that we need to meet if you are below that threshold, then there is a, you know, a lower payout which ends up happening. And if you achieve that threshold, then there's a higher payout that ends up happening.
Lisa Thompson: Okay. So did they change it this year now that your year's over to higher numbers or to make it harder to reach?
Dhruv Shringi: In a few cases they will, but typically, the growth which is there in the slabs is in line or the target is in line with market growth and capacity growth. So let's say if an airline is adding 6%, 7% incremental capacity, then the growth will be more or less linked into that plus a couple of percentage points. So we don't think that, you know, these slabs will in any way be reset to an extend that will make it unachievable for us in the coming years.
Lisa Thompson: Okay. And is this why you beat your guidance? Is this why you beat your guide?
Dhruv Shringi: That’s right. We beat our guidance. Yes, because we were able to achieve the higher thresholds, and that higher threshold brought out an incremental payout for the full-year.
Lisa Thompson: Okay. Excellent. Just curious, do you think that you're going to be staying profitable or is there seasonality involved in that?
Dhruv Shringi: No. We expect to remain profitable. So despite the lower seasons, which will come in, especially in the July, August, September period. We do expect business to continue to be profitable quarter-on-quarter.
Lisa Thompson: Fantastic. And so my last question is, do you have some sort of idea of what percent of revenues come from corporate versus consumer?
Dhruv Shringi: So peak, you know, peak over, we were getting about half and half of our revenue coming from corporate and consumer. I mean, we're now getting to a stage where we are getting closer and closer to about a 60:40 kind of split between corporate and consumer. That would be for the full-year.
Lisa Thompson: Thank you so much. Looking forward to future quarters. Looks good. Thank you.
Dhruv Shringi: Thank you so much, Lisa.
Operator: Thank you, Lisa. [Operator Instructions] Our next question comes from Cobb Sadler from Catamount. Please go ahead.
Cobb Sadler: Hey, guys. Congrats on the numbers and the outlook. It looks like the corporate investments you've been making are starting to pay dividends and inflect. I had a question from the press release, I think you mentioned that the local listing would help you or enable you to maybe strike some partnerships or maybe did you say strategic investment or joint venture. Could you tell us to the extent that you can, what you have in mind there? Thanks a lot.
Dhruv Shringi: Sure, Cobb. So there isn't really anything specific on that top that I can point you towards, but that's more in terms of a general description of the, kind of, opportunities which exist. There are Indian corporates, which are reluctant because of, let's say, RBI Reserve Bank of India, which is the Central Bank of India, Central Bank restrictions on overseas investments and all of it reluctant to look at overseas markets. And hence, it will provide them an alternative to look at it, you know, partnerships, strategic investments and those kinds of opportunities with the Yatra in India. But there isn't really anything specific that we are pointing towards as this statement alludes to. It's not that we are pointing to anything specific to the statement. It's more of a generic statement of the kind of potential opportunities that would exist.
Cobb Sadler: Got it. And is that -- I'm assuming it's not aspirational. I'm assuming historically, you probably had some sort of interest in doing things like this and you want to be able to kind of move on them? Is that the idea? Or is it just once you get the local currency, the local listing that you will be able to pursue things like them or is it both? Thanks. And I have one follow-up.
Dhruv Shringi: Cobb, it would not be possible for me to comment on that especially -- in terms of any historical thing, which has -- may or may not have transpired.
Cobb Sadler: I understand that. Okay, and then on -- I believe Manish said that the IPO talks or investor meetings or marketing would resume. Do they have that right -- after -- now that you put your numbers out, is that -- do you have a plan for that? Is the bankers have kind of -- I guess you're probably limited what you can say on this. But like to what extent -- I guess like – you can't ask you when you expect the IPO to happen. But I guess, a minimum talks are going to resume. Is that right? Can you add any other color?
Dhruv Shringi: Yes. I think the -- now that we've got the results out there, this is something that we would be updating investors with -- and as you can see, there is strong momentum in the results, and there is a strong tailwind behind the business. So this is something that we would be updating investors with.
Cobb Sadler: Okay, alright. Well, that sounds good. Hey congrats on the numbers. Excellent numbers.
Dhruv Shringi: Thank you so much, Cobb.
Operator: We currently have no further questions. So I will hand back to the management team for any final remarks.
Manish Hemrajani: Thank you. Thank you, everyone, for joining the call today. And as always, we are available via e-mail or over the phone. Dhruv, any final remarks?
Dhruv Shringi: No, I just would like to thank again everyone for their continued support. As you would have seen in this quarter's numbers, we are seeing strong traction behind the business, and we expect the business to continue to perform well over the quarters to come. So thank you once again for your continued support.
Manish Hemrajani: Thank you.
Dhruv Shringi: Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect your lines.